Operator: Good morning, everyone. Welcome to the Dave & Buster’s Entertainment Incorporated Second Quarter 2018 Earnings Results Conference Call. Today’s call is being hosted by Brian Jenkins, Chief Executive Officer. I’d like to remind everyone that this call is being recorded and will be available for replay beginning later today. Now, I would like to turn the conference over to Arvind Bhatia, Director of Investor Relations, for opening remarks. Please go ahead.
Arvind Bhatia: Thank you, Apriel, and thank you all for joining us. On the call today are Brian Jenkins, Chief Executive Officer; and Joe DeProspero, Interim Chief Financial Officer. After comments from Mr. Jenkins and Mr. DeProspero, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster’s Entertainment Incorporated and is copyrighted. Before we begin our discussion of the company’s results, I’d like to call your attention to the fact that in our remarks and our responses to your questions, certain items may be discussed which are not based entirely on historical facts. Any such items should be considered forward-looking statements and relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties has been published in our filings with the SEC, which are available on our website at www.daveandbusters.com under the Investor Relations section. In addition, our remarks today will include references to EBITDA, adjusted EBITDA and store operating income before depreciation and amortization, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings announcement released this morning, which is also available on our website. Now, I will turn the call over to Brian.
Brian Jenkins: Well, thank you, Arvind. Good evening, everyone, and thank you for joining our call today. As many of you know, I joined Dave & Buster’s over a decade ago, and I’m proud of what our team has accomplished over that time. As I assume the CEO role, I’m filled with a sense of optimism, commitment to continue our long track record of success. During my recent store visits, I had the opportunity to hear from many of our team members and found their passion for our brand and excitement for the future extremely energizing. We have a strong foundation to build on as a leader in an attractive and growing entertainment space and are well-positioned to propel our brand to new height. At the same time, we recognized competitive landscape is changing and we need to evolve and innovate with a sense of urgency. I’m pleased with our second quarter performance and the progress we’ve made on our strategic priorities. We grew revenue by nearly 14% and EBITDA by 17%. On a comparable basis, we grew revenue by over 11% and EBITDA by nearly 7%. We drove meaningful sequential improvement in comp store sales during the quarter and new store performance remains strong, bolstering our confidence in the model. The 2017 class of stores is tracking well and we’re encouraged by the early results of our 2018 class. As you may have seen, we are raising guidance on key performance metrics. At the same time, we are excited to announce new capital allocation initiatives, including the initiation of a quarterly dividend and expansion of our share repurchase authorization. As we look to the future, we remain laser-focused on four strategic priorities. First, we are evolving our offering to drive greater differentiation by introducing compelling new games and enhancing food and beverage. During the quarter, we launched our first VR title, Jurassic World VR Expedition, on our industry-leading proprietary platform. This was the biggest game launch in our history, and I’m proud of how our team worked together to deliver a great new experience for our guests. Guest response has been strong and bodes well for future game releases on this platform, and we remain on track to launch our second VR title towards the end of the year. And the plan is to build a library of VR content that allow us to capitalize on this opportunity for years to come. Near the end of the second quarter, we introduced Halo: Fireteam Raven as a limited time exclusive Arcade title for D&B, which has been very popular with our guests. This is a marquee game that combines a very well-known intellectual property, with strong gameplay and social elements via sport player feature. Players are also able to share their achievements by connecting to their Xbox account, which unlocks a special badge on Microsoft Halo Waypoint website. As we look forward, we will continue to focus on introducing compelling content with a combination of proprietary, exclusive and non-exclusive games, emphasizing social and multiplayer elements when possible. Within F&B, the key themes of quality, simplification and accessibility remain in play. In terms of quality, our team’s focus is not just on the raw ingredients, but we are making changes, but also on excellent execution with a goal of enhancing flavor and craveability. Just last week, we rolled out our new menu that included new offerings and upgrades in both food and beverage, new items such as Cantina Nachos, Impossible Burger, Kobe Meatballs [indiscernible] Marinara, and our new handcrafted classic cocktails are just a few examples highlighting on your ongoing menu innovation. We are also improving our menu messaging by using quality callouts such as hand-breaded chicken slow-cooked rib, and all-natural chicken breasts. Simplification in F&B speaks about the size of our menu, which we reduced by 20% earlier this year, as well as techniques we used to optimize the taste and presentation of our offering. We believe simplification will positively impact our speed of service over-time. In terms of accessibility, we’re on track to test the quick casual offering in the fourth quarter this year and view this as a potential complementary delivery mechanism to casual dinning inside our facility. Our second priority is to improve service and reduce friction once guests are inside our stores. At a high-level, solutions consist of a combination of technology and operating process, including how we deploy our people. In many of our stores, we have tested and implemented service model changes, primarily during peak times. A large number of stores have deployed guest ambassadors that meet our guests at entry and guide them on their experience. Another initiative involves kiosk, that facilitate guest interaction with that technology. Also, in the majority of our stores, we have introduced hosted seating in the sports lounge area to improve flow during busy times. Early results indicate improved guest metrics at these stores, which is encouraging. Moving to the technology front. We have upgraded about a third of our key asset at this point. We’re in the midst of implementing our new workforce management platform and intend to roll out RFID-enabled Power Cards during the fourth quarter. Our third priority is to ensure we are reaching our audience and effectively communicating new news and value. This means, understanding our target audience better, sharpening our message and choosing the right medium. To that effect, we are bringing – beginning to look into ways to leverage data to understand our target customer better. We also continue to evaluate the optimal media mix for us, including digital to ensure we are reaching our target effectively. While linear media is likely to remain a predominant part of our mix over the foreseeable future, we remain optimistic about the potential of digital. During the quarter, our primary media message featured VR and Halo, but we also promoted value with our Eat & Play All Day All Week Combo. We offered that for several weeks and late in the quarter introduced our new three, four, five Happy Hour Cocktails Promotion. I believe that our relatively low frequency continues to represent an opportunity for our brand. While this will take time, our team is working to lean into those ideas that could ultimately drive higher frequency, higher store utilization as a result of better connectivity and loyalty with our guest. The fourth strategic priority for us, which we believe will be the biggest driver of value over the long-term is delivering 10% or more unit growth annually. We are expanding our footprint at a measured pace and have a strong dedicated team to execute on our new store opening plan. New stores continue to generate excellent cash on cash returns, even after taking into account the sales impact on the existing system. We’re very pleased with the response to our recent store openings. During the second quarter, we opened five new stores, one in Salt Lake City, a new state for us in Utah there; Massapequa, New York; Florence, California; Staten Island, New York; and Northridge, California; and the San Fernando Valley. We are well on our way opening 14 to 15 new stores this year, representing 13% to 14% unit growth. As we mentioned on the last call, these stores will skew towards new markets for our brand in terms of square footage. At the higher-end of the range, we expect to open 11 large stores this year, including nine that are about 40,000 square feet and two that are between 30,000 and 40,000 square feet. The remaining four stores will comprise two small stores and two of our new 17K format stores. Looking forward, we currently have a total of 24 signed leases, providing us a lot of visibility on new store growth into 2019 and early 2020. Our long-term target is to open 231 to 251 locations in the U.S. and Canada, including 20 to 40 of the 17K format stores. Our focus on an investment in these four strategic priorities are aimed at evolving the brand and improving relevant among our guests and we are excited about the opportunity in front of us. Now I’ll turn the call over to our Interim CFO, Joe DeProspero, to discuss our financial performance and updated guidance.
Joe DeProspero: Thank you, Brian, and good morning, everyone. Before I discuss our Q2 financial results and 2018 guidance, let me remind you that 2017 was a 53-week year, and as a result, our fiscal year 2018 calendar shifted by one week and has one less week. Due to seasonality in our business, our quarterly results this year will not be directly comparable to our reported results last year. More specifically, in Q2 this year, we have one more higher volume summer week compared to last year, and this shift had a favorable impact on revenue of $5.7 million, EBITDA of $3.7 million and adjusted EBITDA of $3.6 million. In order to provide a more meaningful picture of our performance, I’ll be quoting our comp sales on a same calendar week basis adjusting for this shift. Turning now to some of the highlights from the second quarter. Total revenues increased 13.7% to $319.2 million versus $280.8 million reported in Q2 of last year. On a comparable week basis, revenue was up 11.4%, driven by strong contribution from our 31 non-comparable stores, which represented 26% of our store base during the quarter. Including the five stores that opened during the quarter, non-comp store sales increased to $78.8 million, up from $39.5 million in the prior year on a comparable week basis. Revenues from our 86 comparable stores fell 2.4% to $241.9 million, down from $247.8 million in the prior year on a comparable week basis. Looking at overall reported sales by category, amusement and other sales grew 16.6%, while food and beverage sales collectively grew 9.7%. During the quarter, amusement and other represented 59.2% of total revenues, reflecting 150 basis points increase from the prior year period, continuing a long-term trend. Breaking down comp sales on a comparable week basis, our walk-in sales fell 2.6%, while our special events business was slightly positive. In terms of category comp sales, amusement was down 1.2% and food and beverage was down 4.1%. Within food and beverage, food and bar business was down 3.3% and 5.9%, respectively. During the quarter, the combination of competitive intrusion and cannibalization was a greater headwind, both sequentially as well as compared to the same period last year. In terms of content, as Brian mentioned, our new amusement offerings for Q2, Jurassic World VR Expedition and Halo are doing well based on sales and utilization rates. Total cost of sales was $55.6 million in the quarter, and as a percentage of sales was 10 basis points higher versus the same period last year, reflecting a decline in food and beverage and amusement margins, partially offset by higher mix of amusement sales. Food and beverage cost as a percentage of food and beverage sales was 40 basis points higher compared to last year, as the unfavorable impact of commodity inflation, including investment in our new Angus burger and the impact of our newer stores was partially offset by the favorable impact of 1.9% in food pricing and 1.1% in beverage pricing. Cost of amusement and other as a percentage of amusement and other sales was 30 basis points higher than last year. This increase was driven by a change in redemption prizes product mix, partially offset by the favorable impact of shifting gameplay towards simulation games, including Virtual Reality. Our operating payroll and benefits cost as a percentage of sales was 23.1%, or 10 basis points higher year-over-year due to deleverage in our comp stores, the unfavorable impact of about 4% wage inflation, and incremental investment in labor related to our VR launch. This increase was partially offset by year-over-year improvements in our non-comp store set. Please keep in mind that our newer stores tend to be less efficient from a labor perspective relative to our mature stores. Other store operating expenses were 40 basis points higher year-over-year, primarily driven by higher occupancy costs at our non-comp stores, deleveraging in our comp store base and slightly higher marketing expenses, resulting from inflation and media costs and continued tests in the digital media space. This increase was partially offset by small variances in other areas. Store operating income before depreciation and amortization was $95.1 million for the quarter, compared to $85.3 million last year, reflecting growth of 11.4%. As a percentage of sales, margin declined 60 basis points year-over-year to 29.8%. G&A expenses were $14.8 million, down from $16.8 million in the prior year. Recall in the second quarter last year, we recorded a $2.6 million litigation settlement expense. Excluding this expense, G&A was up approximately 4% year-over-year, as increased headcount was partially offset by lower stock-based compensation expense. As a percentage of revenues, G&A expenses improved to 140 basis points year-over-year, or 40 basis points, excluding the 2017 litigation settlement expense. Pre-opening costs were $5.3 million versus $4.5 million in the second quarter of 2017. This increase was primarily due to more store openings versus the prior year, as well as pre-spending associated with our remaining lineup of 2018 openings. As a percentage of revenue, pre-opening costs were 1.7%, 10 basis points higher compared to the prior year. EBITDA was $75 million, up 17.1% and EBITDA margins were 23.5%, up 70 basis points versus the same period last year. On a comparable week basis and excluding the unfavorable litigation settlement expense last year, EBITDA was up 6.7% year-over-year. Adjusted EBITDA of $82.4 million grew 16.7% versus the prior year, marking our 32nd consecutive quarter of growth. On a comparable week basis and excluding the 2017 litigation settlement expense, adjusted EBITDA grew by 7.4%. Net interest expense for the quarter increased to $3.2 million, up from $2.1 million in the prior year, driven by higher average debt levels resulting from our share buyback program and also due to increases in the underlying LIBOR rate. Our effective tax rate for the quarter was 20.9%, compared to 18.2% in the year ago period, driven by lower tax benefits from reduced stock option exercises, partially offset by lower federal statutory rate under tax reform. We generated net income of $33.8 million, or $0.84 per share on a diluted share base of 40.3 million shares, compared to net income of $30.4 million, or $0.71 per share in the second quarter of last year on a diluted share base of 42.8 million shares. Shifting to the balance sheet. At the end of the quarter, we had approximately $363 million of outstanding debt, resulting in low leverage of approximately 1.3 times EBITDA. Earlier this week, we adopted new capital initiatives, reflecting our strong financial position and confidence in the future. We initiated a quarterly cash dividend of $0.15 per share and expanded our share repurchase authorization by $100 million for the end of fiscal year 2020. During the quarter, we repurchased approximately 729,000 shares of our common stock for $33.7 million. The inception-to-date total as of September 11, 2018 is 4.8 million shares for $253 million, with approximately $147 million still available, including the new authorization. Turning now to our outlook for fiscal year 2018, we are raising our guidance on several key metrics. Total revenues are now expected to range from $1.23 billion to $1.255 billion, up 10% to 12% on a comparable 52-week basis. Revised guidance is $30 million higher at the lower-end and $15 million higher at the upper-end compared to prior guidance. This increase reflects the sequential improvement in our comp sales and outperformance at our new and non-comp stores during the second quarter. We now project comp store sales on a comparable 52-week basis to be down low single digits versus previous guidance of low to mid single digits decline. We continue to expect second-half comp sales to be better than first-half, as our initiatives, including Virtual Reality, gain traction and we roll over easier comparisons. From a development perspective, our target remains to open 14 to 15 new stores, including two of our new 17K format stores. With 11 stores opened so far this year and eight stores under construction, we are confident in this guidance. We are projecting net income of $101 million to $111 million. The lower-end of the range is a $6 million increase, while at the upper-end, guidance is up $1 million. Net income is based on an effective rate of approximately 24%, which is unchanged from prior guidance. We estimate a diluted share count of approximately $40.3 million, down from prior guidance of $40.5 million. We are projecting EBITDA of $263 million to $277 million for the fiscal year. The lower-end of the range represents an increase of $8 million versus prior guidance, while at the upper-end, guidance is up $2 million. Revised EBITDA guidance reflects incremental investments in our ongoing initiatives, Brian discussed in his prepared remarks. Net capital additions after tenant allowances and other landlord payments is projected to be $179 million to $189 million unchanged from prior guidance. Finally, I want to remind you that the impact of one less week in fiscal year 2018 versus 2017 has an unfavorable impact on revenue and EBITDA of approximately $20 million and $4 million, respectively, on a full-year basis. During the first-half of this year, the calendar shift had a favorable impact of approximately $4.3 million on revenue, $2.7 million on EBITDA and 30 basis points on EBITDA margin. In the back-half this year, the shift will have an unfavorable impact of approximately $24 million on revenue, $6.7 million on EBITDA and 30 basis points on EBITDA margins, including the impact of one less week. The unfavorable impact on Q3 revenue, EBITDA and EBITDA margins will be $5.5 million, $4.1 million and 130 basis points, respectively. This year, Q3 will have one less higher volume summer week and will include the week of Halloween, which tends to be a slower period for us. Please keep this in mind for modeling purposes. With that, I will turn the call back over to Brian.
Brian Jenkins: Thank you, Joe. Let me close this morning by reiterating how excited and honored I’m to lead this great company and outstanding team. We are confident that by focusing on evolving our offering, improving our service and more effectively communicating our new news and value, we will positively impact comp sales performance over time. We expect moving comp sales, combined with our ability to capitalize on the opportunity to more than double our store count, will drive growth and shareholder value for years to come. As always, we appreciate your continued support and interest in Dave & Buster’s. Apriel, please open the lines for Q&A.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Nicole Miller with Piper Jaffray. Please go ahead.
Nicole Miller Regan: Thank you. Good morning, and congratulations on your recent results. When you talked a little bit about VR in your prepared commentary, Brian, and generating a library of content, how important is it to have something that is proprietary versus exclusive and maybe branded versus generic?
Brian Jenkins: Well, first of all, we were extremely excited on our first VR title Jurassic World. Clearly, we featured some IP that we felt very strongly about. And Kevin Bachus, our Head of Games, really worked hard to deliver that. And we like the idea of having proprietary IP that we put on our proprietary platform. So that is our desire, and that’s what Kevin has set about to do. And that’s what we’re looking to do here at the end of this year with another release of a title. So that’s a strong preference. We tested a lot of more generic-type titles over time. And while they actually get a lot of gameplay, we just feel like the better strategy is to have something that no one else can have. And that’s what we’re going to lean into and that’s what, as I said, Kevin is really diligently working to deliver. And our view is that, we will try to build a library over time, again, one more title this year and a couple of titles a year that’s what we would love to do. And our view is that over time, if the guests come back and repeat visit that they will play, not only in Jurassic World again, but they’ll play some of the new library and we’ll drive repeat play and will drive playing more than one of those library titles at one time on one visit. So that we drive per capita spend when a guest comes to visit Dave & Buster’s. So we think adding content options overtime will help our per capita, will drive consumption and that’s key to strategy.
Nicole Miller Regan: And thank you. And just a final question. Could you talk a little bit about the consideration now or – I’m sorry, guess the initiation of a dividend in terms of capital deployment? And it doesn’t seem like obviously from the development pipeline that this signals excess capital, because the growth is going and certainly, you’ve been extremely opportunistic with share repurchase. So is this simply really an outlook of a lot of cash flow big units opening well, and obviously improving comps that allows you to initiate the dividend? And then how do you planned a balanced development versus capital deployment back to shareholders? Thank you.
Joe DeProspero: Yes, Nicole, I appreciate the question. Clearly, new store development remains the number one spot priority for us as far as capital allocation is concerned. We have leaned into our share repurchase program in recent history. And we thought another idea to be able to return value to our shareholders would be to implement a dividend of $0.15 per share. In terms of absolute dollars, it’s not nearly as impactful as some of the historical rate that we have done on our repurchase activity. But at the same time, as you referenced, we feel good about our financial position. We have relatively low leverage of just over one-time, and we think that dividend would be a great opportunity to once again, be able to deliver value to our shareholders in a new way.
Brian Jenkins: Yes, and we – Nicole, we don’t feel like this dividend will fix our ability to grow in any way, we’re very strong financially. So not going to curve any kind of store development or growth initiatives that we might set about to do here.
Nicole Miller Regan: Great. Thanks, again.
Joe DeProspero: Thank you, Nicole.
Operator: We’ll take our next question from Andy Barish from Jefferies. Please go ahead.
Andy Barish: Hey, good morning, guys. Just wondering if you can give us maybe another layer on your comments on competition and cannibalization. I mean, particularly, considering your new store activity is mostly new markets this year and new store returns continued to perform well. So how does that all kind of jive with the greater headwind you referenced, both sequentially and year-over-year?
Joe DeProspero: Well, competition and – excuse me, competitive intrusion and cannibalization continues to remain a greater headwind for us. We’re opening more of our stores are slightly skewed towards new markets. But at the same time, we’re opening locations in existing markets, some of them in relatively densely populated, including California and New York. So with that and some of the competition that we tend to review has grown over time. Few years ago, we looked at a handful of competitors given some of our recent success that we’ve touted. We welcome new entrants into the space. And they’re growing in a pretty significant rate based on kind of what we look at and what we see coming into the space. And looking at our future pipeline, as I mentioned before, it is a more significant headwinds than it has been versus both last quarter and prior year. And we anticipate going forward, it will continue to – the headwind will continue to increase slightly as well.
Andy Barish: And then just a quick VR follow-up on sort of the labor deployment and VR cost there. Is that sort of been in line with what you expected and your utilization, meaning, days of the week and hours that VR is up and running? Is that sort of been in line with what you originally thought on the attraction?
Brian Jenkins: Well, that’s a very good question Andy. We often the – launch the attraction during the middle of summer. So we – I think we mentioned that the operational model would depend on the time of year, the size of store, and the day of week that may vary. We actually operated the attraction more than we expected. And I think that bodes to the success for the game. We had a lot of demand towards the attraction. Actually, in some cases in some stores, mandate were two people who had very busy times to get the throughput that we wanted and make sure the experience and the execution loading/unloading happen the way we want to happen it. So I think our teams in the field just did a superb job. The uptime on the game was excellent and the feedback from our guest was also very strong. So we did spend more labor than we expected in the quarter. And it is an attraction that we’re going to make available even if it’s not attended. So you can seek out someone to go spark the game up. But we operated it quite a bit more than just at night and on weekends. Obviously, it was summer, kids out of school and we launched it. It was featured on TV. We wanted guests to be able to experience that, and that will change. The operating model will change over the course of the year.
Andy Barish: Thank you.
Brian Jenkins: You bet.
Joe DeProspero: Thank you.
Brian Jenkins: Thank you Andy.
Operator: And we’ll take our next question from Sharon Zackfia from William Blair. Please go ahead.
Sharon Zackfia: Hi, good morning. Just a follow-up on Andy’s question. Do you have any metrics you can give us on the VR game on how it added to the ticket in the quarter? And then secondarily, I think, last year that’s about $19 million in CapEx on games. How do we think about that going forward? Will there be a greater kind of the commitments, I guess, on the CapEx line to game going forward?
Brian Jenkins: Yes. Just in terms of VR metrics that, we don’t want to get too specific on exactly what the per cap was and how many units utilization on this call we don’t want to reveal that. But in general, this is a – this was a launch of a paid attraction for us. Really, the first one we had maybe somewhere in the history we’ve done this before, but not in really my time here. So, there is a per cap play with this. This is where we’re trying to – for every Power Card sold, penetrate on attraction chip play and we saw really a favorable response. So our per cap in the amusement side lifted. Again, it was long technically through the quarter. And what I would tend to do is actually create some separation from amusement and F&B, because it is really a per cap play. That said, we feel like it’s also a traffic driver. We featured it on TV, little difficult to tell what it – we would have done without it, because we actually advertised it. But we felt like the response and the way our guest view that was very favorable helped our traffic and we know it helped our per cap, which will create some separation from F&B.
Sharon Zackfia: And then on the CapEx of the game?
Brian Jenkins: I’m sorry. On capital, I don’t know that we’re going to guide next year’s capital right now. This typically, we work through our plans on what we’re going to do. Next year, we’ll be doing that here as we wrap up the calendar year. So – but clearly, we’ve spent one of the largest outlays we ever have on the platform to launch this first titles, Jurassic World, and we plan to launch for other titles. So that platform was a significant investment as we have significant portion of our outlay this year, depending on how many titles we put out and whether we tweak the number of VR platforms we have in each store. We may lean in a little harder on the number of units we have out in some of our stores. We have, I think, 15 or 20, I’m trying to remember right now, stores that actually have two units. So we may tweak that a little bit going into next year, but we won’t have the big platform investment at the same level next year.
Sharon Zackfia: Yes. I guess, Brian, I probably didn’t frame my question very well. I was thinking on the comments on competition and the way you’ve been seeing there as you think you’ve been under investing in games on the CapEx line and whether that will be more on the initiatives going forward to ensure more proprietary, more new game flow?
Brian Jenkins: That’s a great question, what’s the right level of game investment we asked often here. I feel like, our strategy this year of really going after large marquee titles like Halo, like Virtual Reality, that you definitely can’t have at home. It’s the right strategy. It tend to be more expensive games. They tend to be more telegenic on our media campaign. So I don’t feel like we’re under investing on games and we have a good pipeline of attractions and games that we’re cycled through over the course of the year. As we’ve talked about it before, the pipeline of stores is critically important to our primary growth driver, but the pipeline of new games is equally important. It is the reason – primary reason for the visit, and that is a pipeline we’re working on for 2019 right now.
Sharon Zackfia: Okay. Thank you.
Brian Jenkins: Thank you.
Operator: And we’ll take our next question from Andrew Strelzik from BMO Capital. Please go ahead.
Andrew Strelzik: Hey, good morning. Two questions on VR for me. The first one, after the launch with the TV advertising, I’m assuming you saw a lot of VR trial. But as the movie was maybe fading from theaters and things like that, were you pleased with the trial kind of post-launch and how that hung around, number one? And number two, as you look back at the game and kind of assess some of the components of the game, do you see areas where maybe other opportunities to evolve what the games look like going forward to either get better retrial or anything like that, that could maybe even improve the performance of the VR going forward?
Brian Jenkins: Yes. The momentum with this game has continued post the movie. We – the utilization rate, the penetration of attraction shifts in relation to power cards sold is pretty – it’s pretty steady here. So we feel like it’s got long staying power. It is an experience that much like when you go to the theme park and you ride a roller coaster again on another visit, we think people will continue to enjoy Jurassic World on additional visit when they come to Dave & Buster’s. We do believe that, as we build – as I mentioned, before build up a library and offer more titles, the thinking here is that and we know this from our testing when we had just in our content. If we have multiple titles, there will be, as I say sometimes, at least, one guest that is going to consume two of those experiences in one visit. So, our thinking is that, as we build library out, we will get repeat play on the platform itself, as well as possibly the game. And then here you made some comments a little bit about Jurassic World, and particularly, it was our first title. We’ve really liked the IP. We definitely – that game fundamentally was built more as an experiential title. I think some of the learnings here would be and actually we have the ability to do two additional releases on this particular game, it’s experiential. So I think having a little bit more competitive flair, the ability to understand where you fit relative to the person that sits in the next to the seat and you – next to you is something that we will lean into on the things that are in production. In fact, all the games we currently have in production on the VR front are designed to be – have a highly visible guest spacing element, where there’s variability in the content. So we’re really trying to encourage multiple plays per visit by an individual player. So they can see everything and experience it in different ways. So, I think you will see us evolve that in some of the upcoming games we have in the work.
Andrew Strelzik: That’s very helpful. And if I can squeeze one more in here just on the outlook for labor, in the back-half, we’re going to be lapping some of the cost savings that you had in the back-half last year. And I think you mentioned 4% wage growth, as well as some of the initiatives on friction and things like that. So are we really just thinking about the hourly wage growth, or is there any incremental investment or anything like that that we should think about on the labor line for the back-half?
Joe DeProspero: Yes. I think, to your point, we are experiencing about 4% wage inflation. We anticipate going forward, it will be a similar number. I mean, clearly, Virtual Reality, as Brian referenced, it’s been incremental labor for us in Q2 and we launched that on June 14, which was only obviously partially Q2, that will continue to happen in the balance of year. Something else to consider as far as labor is concerned, in Q2, we deleveraged on declining comp stale. And one thing I do want to mention is, we were able to partially offset some of the – those labor headwinds with some outperformance on our new stores. It’s been an initiative for us to get new stores, I’ll call it, comp level performance quicker. And as an aside, we are implementing a new labor management system and our new stores are opening on that new labor management system and we’ve seen some benefit from that. So those are the things to think about in the balance of year regarding labor.
Brian Jenkins: Andrew, just one additional comment and probably just something that you guys need to think about and understand in terms of how Virtual Reality kind of impacts the P&L for us. It’s a simulation game. So it has no cost – direct of cost sales. So functions like any other non-redemption game. But it does have a labor profile that actually feeds the kind of redemption cost profile of the redemption game. So while it provides very good any profit for us and we view it as meaningfully incremental and we think it’s a very big win for us. From a margin perspective, it does put a little pressure, certainly well in the back-half.
Andrew Strelzik: Very helpful. Thank you very much.
Brian Jenkins: You bet.
Operator: And we’ll take our next question from Brian Vaccaro with Raymond James. Please go ahead.
Brian Vaccaro: Good morning. Just a couple of clarifications if I could. First, starting with the comps. I know historically, you haven’t provided sort of monthly cadence. But given the importance of the sales and the improvement compared to last couple of quarters, could you provide some more context around the cadence you saw maybe pre and post the VR launch, and perhaps any comments on quarter-to-date?
Brian Jenkins: No, Brian. We have typically not commented on cadence within the quarter or related to four trends. But what we have said is that and what our guidance suggest is that, we are expecting improvement in comps in the back-half relative to the first-half. We’re obviously rolling over a tougher back-half of 2017, Joe had mentioned. And we said, VR was – let me tell you now, VR was meaningfully incremental to us and launched midway through the second quarter. So I would just take those back they said that’s why all want to comment on that.
Brian Vaccaro: All right. Fair enough. Switching to the margins, if I could. On the labor line in the second quarter, you called out the pressure on the Virtual Reality launch. Could you maybe put some quantify how much that impacted the line, or just isolate the pressure that you expect, how we should think about from a modeling perspective sort of the second-half dynamic there from that component?
Brian Jenkins: Again, I don’t know that we’re not going to build VR P&L for you exactly, Brian. But – again, what I would say is, if you think about a redemption game that have – that drives the cost of goods on our – on the amusement line in our P&L for a redemption game. Think about our cost structure on labor that exceeds that. In other words, there is more cost in labor associated with VR than there are our cost of sales associated with our redemption game. So there’s again, less contribution margin than a typical redemption game on VR, I would think about it like that. I don’t think, we’ll get into that P&L hit.
Brian Vaccaro: Okay, all right. And then just last one on capital allocation, want to ask about the balance sheet leverage and how you’re thinking around? So is there a new comfort range on leverage that you’re thinking about? I know it’s basically about a year ago, maybe that you increase the capacity, I believe, at the credit facility and we haven’t seen much change there on the debt side. So just on – maybe an update on how you’re thinking about the right level of balance sheet leverage? Thank you.
Joe DeProspero: Hey, Brian, thank you very much. Yes, as far as we haven’t really disclosed, I’ll call it “target leverage ratio”. But at the same time, we have said in the past that one or sub one leverage is not ideal for us. We currently sit in the low ones and we – our repurchased activity has been pretty significant in 2017, as well as the first-half of this year. We did recently announced an increase in our share repurchase authorization through 2020. So once again, not to give a target leverage ratio, but that’s something that’s – those are some of the things we’ve announced.
Brian Vaccaro: All right. I’ll pass it along. Thank you.
Joe DeProspero: Thank you, Brian.
Brian Jenkins: Thanks, Brian.
Operator: And we’ll take our next question from Jake Bartlett with SunTrust. Please go ahead.
Jake Bartlett: Great. Thanks for taking the question. In the context of bigger games or more impactful games maybe less frequent. Can you talk about the pace of games or new content for the remainder of the year? And what you kind of you without kind of disclosing what they are? But just what the pace would be in the rest of year? Maybe how you expect it to be next year compared to historical kind of cadence of new game?
Brian Jenkins: Well, just starting with next year, we’re not going to comment today on kind of the on the specific pipeline for 2019 right now other than to say, we know we’re going to work to build VR library a bit, and we’re going to do each and every year have a – with a focus on proprietary IP. I mean, that is what we’re trying to do with that platform. We’ve got, as I mentioned, for the balance of this year, an additional VR title that we’re excited about that we’ll launch, we expect to launch late in the quarter, fourth quarter, and there are two other marquee titles that we have planned. So there – and again, the back when we began this path of marketable capital, making our games and increasing that market capital. So we were buying packages with games. Our focus right now are bigger, better, marquee titles, and that’s really what we’ve done this year and that is our intent for next year as well.
Jake Bartlett: Great. So just to clarify, you mean one more VR game late in the fourth quarter then two other marquee titles in this year that are VR?
Brian Jenkins: Correct.
Jake Bartlett: Okay. And just without kind of – people, we’ve been trying to get what the impact of VR has been on traffic and check, but I don’t think you’re disclosing that. But can you talk about whether there’s any evidence that the spending on VR crowded out any other spending, whether it was people kept loading less on their cards, so they can kind of accommodate the $5 amusement charge or any just commentary around that?
Brian Jenkins: Yes. I mean, we don’t – we are doing analytics. And again, I don’t want to be specific on the P&L on VR, but we are measuring what we believe to be the – what is incremental related to the spend. We’re targeting essentially $5 for each play and we’re not – we – given our analytics, we don’t believe it’s all incremental. We think it meaningfully incremental. So we do believe that’s helping drive per capita spend, the average spend and amusements for power card sold has moved related to this, but it’s not all incremental. And so I don’t – we don’t believe it’s crowding out in any material way. But it’s not – you can’t take – if you’re building your model to kind of hit the P&L on what VR is, we should not assume that it’s all incremental, because it is crowding a little bit out on amusement side.
Jake Bartlett: Got it. And then lastly, on the food and beverage side and the changes you’ve made on the menu with surveys and you assuming it down simplifying it. Are there any – is there anything you can share about the impact of that? Maybe surveys time, table turn, if you’re seeing any improved metrics in your surveys with customer satisfaction? Just trying to gauge how much that’s helping? And I think with the eye on whether guests are getting perceiving a better experience and they’re more like to kind of come back after maybe they came in for VR, but now they had a good experience elsewhere just trying to gauge your progress on that front?
Brian Jenkins: Well, I think we’re getting a lot of traction on the food and beverage front. I think, we mentioned on the last call, we hired and retained the new VP of food and beverage, who really is – has huge energy and is aggressively pursuing innovation in the F&B front and here roughly four months or so, I think at this point. And we’re working hard to and have simplified the menu. We got, as I mentioned, about 20% off early in the year. And he’s continuing to look at how we might tweak or maybe reengineer that even further. We are investing in quality of accounts. We did the burger early in the year before he came on board. But we’ve sensed rolled out a new all-natural chicken and we’ll be upgrading our steak here later this year. Speed of service is definitely a focus for us. We have some fairly complex dishes that we have. So he has a keen eye towards how we might simplify the preparation, very operationally focused on beverage and food, which I think it’s been very helpful, well received by our field team. He’s out, visiting with the stores, in our kitchen. And so I still think it’s early and I think we have opportunity in front of us to get better here than what we are today. We’ve seen some traction and we think we’ve seen some positive reaction. We just launched the new menu. So I think it’s still a little early to tell how this will evolve, but we feel really good about the leadership here and the direction. And one thing I don’t think I did mention, we are on track to test our first fast casual offering, where we know that at least there’s a – there’s at least some portion of our guests that don’t want the casual dinning experience. They don’t want to take the time. They want to play their game and they don’t want that time commitment. So we are step to launch our first fast casual test here in the Dallas market. It will be approximate to the arcade. We’re actually going to take one of the Special Events function rooms and it will be a essentially, I think, of a food truck. Our research shows that what resonates with food particularly millennials would be street taco. So we’re going to test a twisted and traditional kind of food trucks street taco, fast casual concept. It’s going to be called TNT tacos and that will be on the horizon here in the fourth quarter. And again, it’s a test we honestly want to read that, but to the extent that we’re successful. The hope would be that we get increased penetration something we’ve been talking about lot, what’s our penetration and food relative to Power Card sold. Our hope would be that we would see, because of accessibility, increased penetration due to this offering and then we’ll read that for a little while and see whether that makes sense to roll out other location overtime.
Jake Bartlett: Great. Thank you very much.
Brian Jenkins: Thank you, Jake.
Joe DeProspero: Thank you, Jake.
Operator: [Operator Instructions] And we’ll take our next question from Stephen Anderson with Maxim Group. Please go ahead.
Stephen Anderson: Yes, good morning, and wanted to follow-up. I know most of my questions on VR has been answered. But I wanted to more or less address these food and beverage side of business. First of all, I wanted to ask if the Eat & Play All Week promotions have contributed incrementally to in the improvement like an improvement in the comps from food and beverage. And I wanted to ask if you’re not seeing anything new in terms of what kind of value you’re going to add on food and beverage? Thank you.
Brian Jenkins: Well, the offering we had for a number of weeks in the second quarter was what, there was an Eat & Play Combo, All Day, Every Day. And that’s not something we’ve historically done. And I think, we did see. I think it was impactful and that our weekends were pretty solid for us relative to the week days. So I think it was a good offer. That said I think the promotional engine, Dave & Buster’s is an area that we’re really focused on right now. How do we drive traffic, increased frequency and utilize our space more. We’re fairly low frequent visit. We don’t have. We’re not treated as a meal replacement. We don’t have the frequency of the casual dining that they have. We have big boxes that are under utilized. So we’re going to lean into, as I’ve said, some ideas of how we might try to unlock and use our spaces more. And that may involve some value LPO kind of offerings and – but that’s yet to be determined what we’re going to come up with here. But I think that’s actually a pretty big opportunity of lot of folks in the entertainment. Theme parks have really unlocked some meaningful ideas on that front. And so we’re going to continue to explore that. That said, we – maybe our suffer is that, there’s the quality and then there is price. So we are – we believe if we change the quality in which we’re doing, we are making changes to our menu. Our VP of Food is improving the quality numerator, so to speak here. So we don’t think we evolve that price. We’re looking at it from both fronts.
Joe DeProspero: Anything else, Steve?
Stephen Anderson: Thanks.
Brian Jenkins: Thank you, Steve.
Operator: And we’ll take our next question from Jon Tower with Wells Fargo. Please go ahead.
Jon Tower: Hey, thanks for taking the question. Just on the VR platform, again, what’s the governor to greater content launch? Is it having the right people in place at your company, or is it signing license agreements with some of this that the actual movie titles, what is slowing down that process?
Brian Jenkins: Well, I mean, we have quite a few balls in the air on this front. I mean getting the IP is first and foremost before we lean heavily into the development of the games. So – and that depending on the – where the IP, who has the IP that can be – that can take sometime. There are number of folks that are out there building the actual. Once you have the IP, they have to build the games. But it’s – I’m not sure if I and I was one bigger governor that they both take time. But we’re, as I said, we really want proprietary content something that we have alone, not just everything we’re going to do is going to be that way on VR, but that’s our preference and that takes more time than just standard generic content. So and the development cycle, some talented folks out there, we we’re working with a couple of studios. And I would – if I could pick it up, I would say more getting the IP, getting that pipeline secured. And then once you have that, you can move relatively quickly.
Jon Tower: Okay. Thank you. And then just in terms of thinking about the overall process of getting something from idea to test to launches. It seems like that you’ve had some pretty good success with VR to date. And, Brian, your comments early on in the transcript about having a greater sense of urgency as a company. Can you discuss maybe how that process has evolved even over the past several years? And do you see yourselves as a faster company now versus years passed in getting things from idea on paper to actual testing and launch in stores?
Brian Jenkins: Well, that’s a great question. We – listen, I’ve been here a decade. We have a strategic pyramid that we look at all facets of this business very deeply and constantly. We are working to try to simplify, not only what happens out in the field, but what happens here at our corporate office, so we can do that very thing, bring to market big ideas or opportunities faster by focusing on those and not getting distracted by the many, many projects we might have as a company. So yes, one of my objectives here is simplify to focus on things that matter and bring them to bear quicker, I mean, that just philosophically.
Jon Tower: Awesome. Great. Thank you.
Brian Jenkins: Thank you.
Joe DeProspero: Thank you, Jon.
Operator: And this concludes today’s question-and-answer session. At this time, I would like to turn the conference back to today’s speakers for any additional or closing remarks.
Brian Jenkins: Well, thank you for your time this morning. We look forward to reviewing our third quarter results with you in December, and you guys have a great day.
Operator: This concludes today’s presentation. We thank you for your participation. You may now disconnect.